Deborah Stapleton: Good morning everyone. My name is Deborah Stapleton and we have just been informed, we won’t have an operator on the call today. So we need you to please mute your phones during the prepared remarks, and when we get to the Q&A portion, unmute your phone and ask your question. As a reminder, this call is being webcast and will be archived for two weeks. The financial press release, reconciliation of GAAP to non-GAAP financial measures and other financial measurement tables are now available on the Investor page of our website, at www.silabs.com. I'm joined today by Tyson Tuttle, Chief Executive Officer; Bill Bock, President; and John Hollister, Chief Financial Officer. We will discuss our financial results and review our business activities for the quarter and fiscal year 2013. Then we will have a question-and-answer session following our prepared remarks. Our comments today will include forward-looking statements or projections that involve substantial risks and uncertainties. We base these forward-looking statements on information available to us as of the date of this conference call. This information will likely change over time. By discussing our current perception of our markets, the future performance of Silicon Labs and our products with you today, we are not undertaking an obligation to provide updates in the future. There are a variety of factors that we may not be able to accurately predict or control that could have a material adverse effect on our business, our operating results and financial condition. We encourage you to review our SEC filings, which identify important factors that could cause actual results to differ materially from those contained in any forward-looking statements. Also the non-GAAP financial measurements that are discussed today are not intended to replace the presentation of Silicon Labs' GAAP financial results. We are providing this information because it may enable investors to perform meaningful comparisons of operating results and more clearly, highlight the results of core ongoing operations. I'd like to now turn the call over to Silicon Labs' Chief Executive Officer, Tyson Tuttle.
Tyson Tuttle: Thanks Deb and good morning everyone. I am pleased to report a very strong finish to 2013, delivering fourth quarter revenue of $146.2 million and generating $580 million in record revenue for the year. We are kicking off 2014 with growing momentum. Fourth quarter results were better than anticipated, due to strength in our microcontroller and wireless, broadcast video and access products. I will talk more about business trends shortly. For now, I'd like to turn the call over to John, who will review our financial results in detail. John?
John Hollister: Thank you, Tyson. Fourth quarter revenue of $146.2 million exceeded the high end of our guidance, and was essentially flat with Q3. For the full year, our revenue totaled $580 million, a record for Silicon Labs. Broad-based revenue, comprising our microcontroller and wireless, timing, power and sensor products ended at $72 million in Q4, or about 50% of total revenue. Microcontroller and wireless products reached a record 30% of total revenue in Q4, with 7% sequential and 17% year-over-year growth. This increase was driven primarily by continued expansion of the MCU and wireless portfolio into our target Internet of Things markets, including metering, home automation, security and health and fitness applications. We are pleased to report that revenue contributions from the acquired Energy Micro products, met our expectations in the second half of 2013. Timing represents 13% of total revenue in Q4, and declined 12% sequentially. While we had expected to achieve record revenue in timing, we experienced a slowdown in order to midway through the quarter, across our tier-1 communications customer base. We believe this weakness in the telecom infrastructure market is temporary, and we expect growth to resume in Q1. Broadcast outperformed expectations in Q4, with revenue of $50 million or approximately 34% of total Q4 revenue, down only slightly from Q3. Fourth quarter revenue reflected strong performance in video products and continued growth in automotive radio products. Consumer shipments, most notably in video, accelerated as the quarter closed to gross revenue above the high end of guidance. Access grew slightly in Q4, exceeding expectations, with revenue of $24 million or 16% of total Q4 revenue. We are pleased with the strength of our access business, declining only 8% from 2012. We again expect these products to decline less than 10% in 2014, and believe this business is a good example of the longevity of our mixed signal products. On a GAAP basis, fourth quarter gross margins were 60.6%. R&D investments increased to $42.2 million and SG&A expense declined to $32.3 million, resulting in GAAP operating income of $14.2 million or 9.7%. GAAP EPS was $0.24, which was significantly above our guidance range. Due to revenue upside, disciplined expense control, and the positive outcome of the MaxLinear legal settlement. On a non-GAAP basis, fourth quarter gross margin was consistent with expectations at 61.2%, which is a favorable outcome in light of the product's mix shift. Non-GAAP operating expenses declined in the quarter to $62.2 million. Non-GAAP R&D investment increased to $34.5 million, due to a higher number of new product tape outs we executed in the quarter. Non-GAAP SG&A expenses declined to $27.7 million, reflecting legal spending. The combination of stable gross margin results and in line operating expenses, resulted in non-GAAP operating margin of 18.7%. Our non-GAAP affected tax rate was 20.4% in Q4, slightly better than expected. Non-GAAP net income for the quarter ended at $21.4 million or $0.49 per share. This is above the top of our Q4 guidance range of $0.40 to $0.45 and represents an increase of $0.04 per share from Q3. Turning now to the balance sheet; accounts receivable increased to $72.1 million or 44 days sales outstanding, which is consistent with our historical performance. We continue to have no known collection or bad debt issues. Inventory levels increased slightly during the quarter to $45.3 million, resulting in stable turns of five times consistent with expectations. Channel inventory increased slightly during the quarter from 37 to 40 days. For the 12 month year-to-date period, we generated $120 million in operating cash flow. In the fourth quarter, we returned $18 million of cash through the share repurchase program, which takes the total of fiscal 2013 up to $26 million. I am also pleased to announce, that the board of directors has authorized a new share repurchase program, of up to $100 million over the next 12 months. We ended Q4 with cash plus short and long term investments of $286 million, and our balance sheet continues to be very healthy. Before turning the call back to Tyson, I will cover first quarter guidance. We expect Q11 revenue to be in the range of $142 million to $146 million. So we expect Broad-based to be about flat to Q4, which reflects continued strength in microcontroller and wireless products, a rebound in timing, offset by seasonal declines in the consumer market. Broadcast and access are expected to be slightly down in Q1, due to seasonality. Gross margin is expected to be 60% to 61% slightly below Q4. Mix continues to influence our gross margin in the near term. We continue to realize synergies related to the Energy Micro acquisition, and are managing our Q1 operating expenses, to remain consistent with the second half of 2013 run rate. As a result, we expect total non-GAAP operating expenses will be around $63 million, despite seasonal increases in fringe costs. We expect non-GAAP EPS to be in the range of $0.40 to $0.44, with a non-GAAP effective tax rate of 22%, reflecting the expiration of the federal R&D tax credit. On a GAAP basis, earnings in the first quarter are expected to be $0.14 to $0.18 per share. Now, I will turn the call back to Tyson.
Tyson Tuttle: Thanks John. I'd like to remind everyone on the call, that we do not have an operator today, due to bad weather in Georgia, and I would very much like everyone to mute their phone, and when we get to the Q&A session, you can then unmute your phone, as we call your name, and then you can ask your question. So thank you everyone. 2013 was a strong year for Silicon Labs. We expanded our broad based portfolio, grew our market leading position in broadcast, and introduced important new microcontroller, wireless sensor, timing, isolation and video products, which we believe will serve as growth engines for 2014 and beyond. Over the last number of years, we have aligned our broad-based product development to address three key industry trends; the rapid growth of the Internet of Things, the need for greater energy efficiency, and the continuing demand for higher bandwidth. In support of this strategy, in 2013, we broadened our embedded portfolio for the IOT, with a strategic acquisition of Energy Micro and we launched our first CMEMS products, which reaffirmed our ability to develop highly integrated, single chip solutions, based on disruptive technologies. Our microcontroller and wireless products delivered record revenue in Q4 and for the year, reflecting both solid execution with Energy Micro and strong performance in our organic products. MCU and wireless design win activity in the embedded market is robust, increasing more than 20% year-on-year. At this month's Consumer Electronics Show, keynote speakers, industry leaders, proclaimed 2014 will truly be the year of the Internet of Things. Google's widely publicized plans to acquire smart thermostat makers, Nest, for $3.2 billion further underscores the strength of the IOT market, and the high value of connected devices. With our leading software capabilities and portfolio of energy friendly microcontroller wireless and sensor ICs, Silicon Labs is very well positioned to deliver system level solutions to leverage this trend. The Internet of Things drove more than 15% of our 2013 revenue, up from approximately 10% in 2012. Going forward, we expect home automation, security, lighting control and smart metering to drive our most significant near term revenue opportunities. Continuing to expand our embedded portfolio, in Q4, we introduced a new family of ultra low power wireless MCUs that are ideal for a broad range of connected device applications for the Internet of Things. Combining our MCU and sub-GHz wireless technologies in a single chip solution, these new wireless MCUs achieved industry leading RF performance with lowest overall power consumption and smallest packaged size. Additionally, our development software brings unprecedented simplicity and ease of use to wireless design. Also in Q4, Silicon Labs won two prestigious EDN China Innovation awards. Our EZRadioPRO wireless transceiver for China's smart metering market, won best product in the networking products category, and our innovative relative humidity sensor-on-a-chip won a leading product award in the sensor products category. We see signs of increasing momentum for our sensor products, and are continuing to advance the state-of-the-art. In Q4, we launched our next generation family of relative humidity and temperature sensors, offering unmatched power efficiency, ease of use, and reliability. The new family enables accurate humidity sensing for a range of applications from home automation to industrial equipment. Our new sensors can be combined with our wireless and MCU ICs, to address a wide range of sensor applications for the Internet of Things. During the quarter, we also announced two design wins in the emerging wearable computing market. Misfit Wearable selected our EFM32 Leopard Gecko MCU for their elegantly designed Shine Fitness tracker. Our MCU is a perfect match for the Shine's low energy data intensive requirements and our Simplicity Studio development tools accelerated their time to market. In addition, Magellan, a leading provider of GPS devices for vehicles, fitness, outdoor and mobile navigation, chose our EFM32 Giant Gecko MCU as the processing platform for their Echo Smart Sports Watch. This MCU maximizes the Echo's battery life, without compromising advanced functionality for the end user experience. Timing design win activity remains strong, up 30% year-on-year reflecting growth momentum for our new products, as we diversify our customer base and expand our content. We continue to invest in our diverse timing portfolio and have established ourselves as a market leader in high performance clocking and frequency control solutions. In addition, our CMEMS oscillator family is driving strong customer interest, especially in cost sensitive, high volume, industrial, embedded and consumer electronics applications, where it makes sense to replace quartz-based oscillator with more reliable MEMS-based frequency control solutions. Broadcast delivered record revenue in 2013, driven by the success of our Silicon TV Tuner solutions and continuing adoption of our automotive radio products. In 2013, we shipped more than 120 million TV tuners, and we increased our share to more than 45% of the overall TV market. Looking forward, we will continue to diversify our broadcast revenue, as we expand our market share. Strong design win activity in our digital video broadcast modulators for TVs and set-top boxes, and multi-tuner adoption in higher end products, will drive further market share gains to more than half the overall TV market in 2014. In addition to shipping Silicon tuners to nine out of the world's top 10 TV markets, we are now supplying Silicon tuners to four out of the top five TV makers in China. In Audio, we are also looking forward to another year of meaningful growth in automotive radio, as we continue to penetrate the market with our complete portfolio of best in class solutions to tier-1 automotive entertainment suppliers around the world, in addition to achieving success in the automotive aftermarket. Offering industry leading solutions for single and multi-tuner designs and digital radio, we are impressively drawing our market share in the $300 million automotive radio IC market. Finally in December, we were proud to accept the Global Semiconductor Alliance's most respected public semiconductor award for nominees with $250 million to $1 billion in annual sales. According to the GSA, this award reflects Silicon Labs continued success as a public company, and long history of innovation in the mixed signal IC market. In summary, 2013 was a strong year for Silicon Labs. Going forward, we are well positioned in growth markets, such as the Internet of Things, Smart Energy, and Internet Infrastructure, with very little exposure to PC and handsets businesses. There is growing momentum in the number of new opportunities in our target markets, and our ability to meet those opportunities continue to expand. Before turning the call over to questions, I'd like to thank our employees for their hard work and contributions to the success of Silicon Labs in 2013 and look forward to 2014. Thank you for your time and attention. We are happy to take your questions.
Deborah Stapleton: Thank you, Tyson. Before we open the call for the question-and-answer session, I'd like to announce our attendance at upcoming investor conferences this quarter, including the Stifel Technology Conference in San Francisco on February 10 and 11; the Morgan Stanley TMT Conference in San Francisco, March 5th; and the Piper TMT Conference in New York, March 11 and 12. We will also be hosting Silicon Labs' first Analyst Day on May 12 in New York City, and we will be providing additional details soon. And now for Q&A, to accommodate questions from as many people as possible before the market opens, we ask that you please limit your questions to one, with one follow-up. So if you have a question, please unmute your phone and ask it now.
Cody Acree - Williams Financial Group: This is Cody Acree, can you hear me?
Tyson Tuttle: Cody, is that you?
Cody Acree - Williams Financial Group: Yes, it is. Can you hear me?
Tyson Tuttle: Yes, I can hear you.
Cody Acree - Williams Financial Group: Thanks for taking the questions. Just curious on video broadcast inventory going into Q1?
John Hollister: Cody, this is John Hollister. Inventory levels are healthy, but we ended the quarter with five turns of inventory, which is in line with our expectations. So we had healthy inventory levels.
Cody Acree - Williams Financial Group: In the video side though, particularly given seasonality?
Tyson Tuttle: Yes. This is Tyson. We ended the quarter fairly strong in video, as the quarter ended, the shipments in the consumer space and in video, tended to increase our inventory levels, are reasonably lean compared to the normal point in the year.
Cody Acree - Williams Financial Group: I guess Tyson, what I am getting at is, that we had a lot of reports of poor TV sales during the holidays. I am wondering if you have a view of what's sitting out there in the channel, and how that might impact Q1 calls?
Bill Bock: Cody, this is Bill. The demand increases that we saw from our tier-1 customers were effectively model 2013 devices. So think, these customers continue to fill out and exhaust their inventory of last year models, setting up for a transition to 2014 model year product and inventory in first quarter.
Cody Acree - Williams Financial Group: Would you expect that the video side, I guess the trajectory in the Q1, up, down, flat?
Bill Bock: We think broadcast and video in particular, will be down slightly in Q1, simply reflecting a typical seasonal pattern.
Tyson Tuttle: (Inaudible) what pattern is going into Q1 are at a normal level for this time. So we don't see any indication of a channel inventory problem with our customer.
Cody Acree - Williams Financial Group: Then lastly, your indications on timing of recovery in Q1, I guess, given what we have heard from others, what gives you confidence that that infrastructure piece is going to be better in Q1 versus Q4?
John Hollister: So Cody, I think the indications that we have at present is, that our order patterns have picked up, from what was a very soft order pattern in the back half of Q4. We are not looking for timing to set any records in Q1, essentially, to improve from what we saw at the back half of Q4, and demonstrate modest growth over the fourth quarter performance.
Cody Acree - Williams Financial Group: And then one last thing, if I can squeeze it in, just mix on gross margin impact for Q1, you talked about a bit of improvement, just wondering how those all play out?
John Hollister: Yeah so, we see the mix with timing -- with some recovery, but not setting new records, as Bill indicated, mix continued to influence our progression for margin, so we offered 60% to 61% as the range for margins will have some standard revaluation effects happening in Q1. So overall, relatively stable, but the midpoint of that would be down slightly.
Cody Acree - Williams Financial Group: What are the drivers then, I guess? What's the individual element?
Tyson Tuttle: Yeah just overall, with timing not being forecast is to set a new record. As we indicated, that would be the mix element for margin.
John Hollister: We also see our Access products down a bit in Q1, and that would tend to pull the margin down a bit.
Cody Acree - Williams Financial Group: Great. Thanks guys. Appreciate it.
Tore Svanberg - Stifel Nicolaus: Tyson, it's Tore here.
Tyson Tuttle: Okay. Tore, go ahead.
Tore Svanberg - Stifel Nicolaus: Yeah, so my first question, coming back to the timing business. I guess, it just seems a little odd why orders would sort of tail-off a bit in the quarter, and pick back up. Any idea on what's going on here from a linearity perspective?
John Hollister: Tore, we think that the softness that we saw, commenced after Cisco reported in the middle of last quarter. We saw a slowdown in order activity from seven of our top eight telco customers. So it was very broad based across our entire customer set. We don't perceive that this is an extended weakness in this market, and in fact, that's being evidenced by order patterns that we are enjoying in January. So our belief is that, we saw a slowdown in high end telco infrastructure demand during November and December, which is modestly resuming in January-February.
Tore Svanberg - Stifel Nicolaus: Very good. And as my follow-up, in addition to record revenue, you also continue to generate very strong cash flow. So I know, you just announced another buyback program, but any further thoughts on how to utilize some of that excess cash?
John Hollister: We will continue to have the view of the buyback as the primary deployment of capital. In 2013, we also executed this strategic acquisition, which was a significant use of cash as well. So at this point in time, those would be the primary elements of our deployment strategy with the buyback being increased this year, versus last year.
Tore Svanberg - Stifel Nicolaus: Very good. Congratulations on the results.
John Hollister: Thank you.
Tyson Tuttle: Thank you.
Craig Ellis - B. Riley: Hey guys, Craig Ellis. Can I chime in with a few?
Tyson Tuttle: Go ahead Craig.
Craig Ellis - B. Riley: Yeah. Thanks and congratulations on the good results. So just, starting with MCU business, when the Energy Micro deal was announced, one of the goals of the company was to double quarterly revenues by the fourth quarter 2014. Is the company still on track for that, and what are some of the designing milestones or portfolio milestones we should be looking at from here to there?
Bill Bock: Craig, that is indeed our objective. We are really pleased that this acquisition achieved its target revenue objectives for the back half of 2013. Really terrific performance to meet those objectives in the first two quarters after the acquisition. We set records in the MCU business in Q4, so there is good momentum from a design win point of view, and just simply from market momentum, entering 2014. Our objective is to make the Energy Micro acquisition accretive, by the time we exit this year, and the performance in the second half of 2013 and our momentum going into 2014 continues to lead us to believe we can accomplish that, which roughly translates into a doubling of 32-bit revenues by the end of this year.
Craig Ellis - B. Riley: Thanks for that Bill. And as a follow-up to one of the comments in the prepared remarks, you talked about the content in the Nest system, which is the thermostating and internal temperature control. Can you talk about what your dollar content is in that device and how does that dollar content compare to, some of the other applications that you mentioned?
Tyson Tuttle: Right. So it is publicly known that our chips have been found in the Nest, both the thermostat and also in the smoke detector that they recently released, that is our ZigBee wireless chip that is in there, along with our networking software. So that is a typical ASP. You know, we don't specifically talk about ASPs, but it’s a significant content and an important functionality within those boxes, and we think that the acquisition of Nest by Google for $3.2 billion is a good indicator of both the validation of the Nest products, and also just in general, of this being an exciting growth vector going forward, and we think that we are very well positioned to take advantage of that.
Craig Ellis - B. Riley: And a clarification on the comments, Tyson, with Internet Things, revenue, percent of total for the company. What exactly is included when you say 15% of revenue is Internet of Things? What product groups are you speaking of?
Tyson Tuttle: Right. So we include our low power MCUs which are both 8-bit and 32-bit, including the new EFM Gecko products from Energy Micro, and we are including our wireless revenue in there, our ZigBee chips, and our sub-GHz and the predominance of those devices being connected, and then we are also including a portion of our sensor revenue, which go into those types of applications.
Craig Ellis - B. Riley: Thank you. And then the last one for me, and this probably more towards John. With regard to the $100 million share buyback program, increasingly, we are seeing semiconductor companies targeted a percent of free cash flow, either to buybacks or to dividends. And so as we think about the company's use of that $100 million program, should we think about it being used as a percent of free cash flow, as you generate that through the year, or is the company intending to be more opportunistic around certain stock levels?
John Hollister: Yeah Craig. We continue to be opportunistic and certainly, just continue to survey the market and stay apprised of the trends in the industry. At this point, we are continuing to be opportunistic.
Tyson Tuttle: I would say though, that with the increase in the level of the share buyback from $50 million to $100 million, it is our intention to be somewhat more aggressive about the share buyback in 2014.
Craig Ellis - B. Riley: Thanks guys.
Blayne Curtis - Barclays: It's Blayne Curtis with Barclays. Tyson, you talked about increasing share in the video market. There have been some concerns, that may be growth in video was over. Seemingly, it looks like, you can grow your share. There is obviously some other offsets, you mentioned multiple tuners as well as obviously, there is always pricing erosion. Do you still see this as a growth business, and can you kind of net out some of those (inaudible)?
Tyson Tuttle: Right. So in the video market, we believe that we will expand our share of the overall video market. We believe that we will increase the number of units that we are able to ship into, and there is an incremental add in terms of opportunity for digital video broadcast, in modulators that are ramping into tier-1 customers in 2014, as well as the multi-tuner adoption in a lot of the high-end TVs. If you were at the CES, you saw a lot of the 4K HDTV and the preponderance of those are using our tuners and many of them have multiple tuners inside. So the higher end TVs will have multiple tuners. We also see increasing opportunity with the next generation of products and set-top boxes, and so that's an incremental [TAM] that layers on top of that. So I think when you add all of those together, we do still feel confident that we can grow in revenue terms, for the video business in 2014 over 2013 and feel very good about the longevity of this business long term, as we solidify our market share and continue to expand the portfolio.
Blayne Curtis - Barclays: Thanks. Then just maybe turning to your Siemens product. Your competitor today had an announcement. Are we starting to see adoption? It's always a tough job to get a new technology adopted. Do you think you will start to see Siemens revenues this year, and if you can may be outline about where you think this [opportunity is]?
Tyson Tuttle: Right. Our first share of products in Siemens are targeted at the consumer and the embedded space. We do have a lot of customer activity going on, in terms of design in and design win activity. We continue to believe that that is more of a second half of 2014 story in terms of the revenue ramp, although we are shipping moderate volumes here in the first half. Although, that is not a significant driver of the timing revenue yet. But we do feel good about where we are, in terms of the manufacturing of the product, and our ability to deliver quality and to deliver samples out into the field and the level of consumer engagement is very encouraging at this point.
Blayne Curtis - Barclays: Great. Thanks. And nice job on the quarter.
Tyson Tuttle: Thank you.
Srini Pajjuri - CLSA: Hey guys, this is Srini. Good morning.
Tyson Tuttle: Good morning.
Srini Pajjuri - CLSA: A couple of questions. Tyson, you talked about a lot of different products for the rest of the year. If you can maybe touch on Access and also your 8-bit microcontrollers, as to how we should think about the growth prospects this year?
Tyson Tuttle: Right. In terms of the Access products, we said that in 2013, they were down about 8% year-on-year, and that reflected the set-top box predominantly, where a lot of the set top box makers, either removed the modem for emerging market economies, or went to a lower cost, lower speed device. And so that was responsible, primarily for that 8% year-on-year decline. We continue to see a little bit of that going forward into 2014, and feel confident that the Access products will be down 10% or less for the year. So we think that the longevity of those products, and this is a 15-year set of products, and we have continued to maintain our market share and maintain discipline on the pricing side, that we do feel comfortable at that less than 10% on the Access side. In terms of 8-bit MCUs, we continue to be quite bullish about our opportunities there. I think that as 32-bit comes along, 8-bit has a very important spot in the market for cost sensitive applications. In the second half of the year, we introduced a new low cost, we call it our ultra low-cost, 8-bit family, of 8-bit MCUs and actually have very strong design win traction, in particular, in China and in Asia for our 8-bit products. So we continue to make incremental investments there. In addition, a number of our wireless products are also using an 8-bit platform for cost sensitive applications. So we believe that the 8-bit business can continue to grow and gain share, starting from a modest position, and we think that there is a lot of synergy with those products, and with our new portfolio of 32-bit devices.
Srini Pajjuri - CLSA: Great. And Tyson, you mentioned that some of the higher end TVs are using multiple tuners. I am just wondering, are all the 4K TVs using multiple tuners, or is it just the high end of the 4K range? Because I have seen 4K TVs selling for, almost below $1,000. Just curious as to, what type of applications you are seeing multiple tuner adoption?
Tyson Tuttle: Yeah. I think that if you look at the Korean makers, and look at their high end series, a number of those have multiple tuners. They are talking about two, three, four tuners per television going forward, and so that provides an incremental opportunity for us. Certainly, some of the lower end 4K TVs that are coming out in China, I think I saw one for less than $500 the other day, which is awfully tempting for me on Amazon. That one only had a single tuner. So I think that -- the interesting thing about the 4K trend, I believe, that I think -- finally the TV market has something that is going to drive a lot of consumer demand, and may drive some refresh cycle. So I am hopeful that for the overall TV market in terms of just units, 4K TV is a positive trend for us, as we enter 2014 and go into a situation, where more and more content will be available.
Srini Pajjuri - CLSA: Okay. And then, given that World Cup is coming up in summer. Are you hearing from your customers that, the seasonality this year would be any different from the last couple of years?
John Hollister: So Srini, World Cup has always worked in our favor. We see momentum building around fan interest in that activity, it has always driven TV demand, and the Olympics are no different. So we are certainly benefited by anything that pushes consumers to new sets.
Srini Pajjuri - CLSA: Okay. Then one final question on the gross margins; given that you are expecting Access to decline a bit this year, how should we think about the other puts and takes in the gross margin? I am just wondering if you can sustain at these 61% levels going forward? Thank you.
Tyson Tuttle: We have a number of puts and takes. Although, I would say that the spread on our gross margins among our product lines is not as dramatic as it once was. We have continued performance in the video. We have been introducing lower cost products there, which has offset the gross margin, or the ASP declines that we have seen in the market. Typically, broadcast video has been somewhat below. We have incremental drivers and timing, and in broadcast audio with the automotives, that tend to push it up. So I think, all things considered, we believe that 2014 is going to be in that range, below 60s.
Srini Pajjuri - CLSA: Thank you.
Anil Doradla - William Blair: Hey guys, this is Anil.
Tyson Tuttle: Hi Anil.
Anil Doradla - William Blair: Yeah. Can you hear me?
Tyson Tuttle: Yes.
Anil Doradla - William Blair: Okay. So, when you look at the Internet of Things in your strategy, it looks like you guys are more centered around that. Can you comment about your product positionings? Do you guys feel that, you have got all the pieces, especially with Energy Micro, all the software-hardware? I know you have sensor, you have ZigBee. But, are there are any holes or any areas where you perhaps need to beef up?
Tyson Tuttle: I think for the applications that we are pursuing in the Internet of Things, which include home automation, metering, health and fitness, home security, we believe that we have all the pieces in place. I mean, there are always additional sensors that are interesting, and we certainly have a lot of activity going on internally in that area. But if you look at the low energy microcontroller technology, both 8-bit and 32-bit, you look at the wireless technology with ZigBee and various flavors of 802.15.4, as well as a number of the proprietary standards, and our upcoming Bluetooth low energy solution, which came in through the Energy Micro acquisition. We believe that we have all of the pieces necessary to address the low data rates, low energy, low power type of applications, which we believe is going to be preponderance of the deployed units in these markets. So while Bluetooth is going to be a nice adder, and there is a number of Wi-Fi applications out there, we believe those are going to be higher data rate, and that the technologies that we have in-house are going to be very exciting, in terms of growth opportunities going forward.
Anil Doradla - William Blair: You just talked about IOT being about 15% of revenues; and when I step back and look at kind of the growth profile of Silicon Labs in 2014-2015, is there any reason why we should not be thinking 2015 growth should be higher than 2014? If IOT takes up as many -- (inaudible)?
Tyson Tuttle: So Anil, I think our positioning in IOT is quite unique, and particularly for a company of our size. We have worked to establish Silicon Labs as a full systems supplier, and in that context we offer the CPUs, the radios, the sensors and the software, tie it all together. A pretty unique one stop shop for customers in IOT. We are really encouraged at the CES show earlier this month, and the dramatic amount of attention IOT got from vendors, large and small, and similarly, as Tyson mentioned. Google's acquisition of Nest is another leading indicator. So indeed, we would expect this market will gain momentum in 2014, and if anything, should accelerate in 2015, which should definitely help us.
Anil Doradla - William Blair: Okay great. And Tyson, not sure whether I picked that up. But the timing softness, was that driven by wireless infrastructure, wireline? Can you sort of highlight what happened there, provide some color?
Tyson Tuttle: Yeah. The majority of our revenue and timing is coming from the core network infrastructure, the major telecom infrastructure providers. We don't have a lot of exposure at this point, to the wireless base station or to the datacenter type of applications. Although, we have multiple new products targeted at those applications. So it would be predominantly a core network wireline slowdown that we saw in the second half of Q4.
Anil Doradla - William Blair: Thanks a lot guys.
Tyson Tuttle: Thank you. Why don't we let John Vihn go next? John?
John Vihn - Pacific Crest: Yes. Hey, can you hear me?
Tyson Tuttle: Yes.
John Vihn - Pacific Crest: Couple of follow-up questions; first, on the tuner opportunity, first on the demodulator. I was wondering if you could give us more color on the opportunity there. I was under the impression that most modulators have been integrated into the backend SoC. On the multi-tuner opportunity, can you give us a sense of -- you've got multiple tuners in TVs, could you see kind of a doubling of your content there, and then finally, as you look into 2014, what becomes a greater driver of your growth there? Is it really the demod opportunity, or is it the increase in multi-tuner content?
Tyson Tuttle: Okay, let me start with the demod. So in the television, you've got a tuner which receives the signal off the air or off the cable, and then you've got a demodulator, which decodes that into the digital video stream. In many of the more mature markets like the United States, those demodulators have been integrated into the SoC. Whereas in the lot of the European countries, they have introduced new standards like DVB-T2 and DVB-C2 for cable. And those tend to be quite large and regional. So you have a significant amount of silicon that is required to implement that demod functionality, and that has been evolving over the last few years. So we have a leading share in those European demodulators, and those have not been integrated on to the SoC. Actually the SoC makers would prefer not to integrate those into many of the models, because of the size and because that would then make the SoC regional specific. So we have seen at our tier-1 customers a desire to keep those separate, and also a great affinity to the performance that they are able to achieve, with the combination of our tuners, and our demodulators, when put together. So as they have introduced DVB-T2 into more and more of the European models, we have seen increasing adoption of our demodulators into those. So that is a significant revenue driver for video going into 2014. I would probably put that ahead of multi-tuner, but indeed in multi-tuner sets, that would be a doubling or a tripling of our revenue into those particular sets. But again that, I think that the attach rate of multi-tuner in 2014 looks like it will be still in the single digits, probably approaching 10%, rather than being a dominant type of a feature. So it is a factor, but I would put demod, a little bit ahead of the multi-tuner, as we see what's going on this year.
John Vihn - Pacific Crest: Great. And then for my follow-up, you saw some pretty nice growth there in the quarter on the MCU side. Can you give us a sense of how much of that growth came from 32-bit versus 8-bit?
Tyson Tuttle: The breakout in Q4, if we look at -- its pretty much across the board, across all of our microcontroller family. Saw good strength into Q4. We certainly saw strength on the Energy Micro EFM32 from Q3 to Q4. As we exited the year, we showed some nice momentum, and we have got great momentum on the wireless side, both our sub-GHz devices going into metering, going into a lot of point-to-point control type solutions, and then on the ZigBee side, lots and lots of activity and design wins, design ramps, and a lot of activity at the CES around ZigBee, and that being a very favorable technology going forward for home automation and security applications. So I would say that, just strong quarter all across the board in Q4, and really, IOT being the biggest driver of those new applications and of the revenue ramp. So quite exciting stuff.
John Vihn - Pacific Crest: Great. Thank you.
Tyson Tuttle: Thank you. Another question.
Suji De Silva - Topeka Capital: Yeah it's Suji. Can you hear me?
Tyson Tuttle: Suji, we got you. Go ahead.
Suji De Silva - Topeka Capital: Great. So first of all, can you take a sub-segment, maybe in rank order, which one (inaudible) drives the best growth in 2014? In the past, you have been giving full year guidance on the January calls, so I am curious which one, you think, will be the best opportunity in 2014?
Tyson Tuttle: Okay. Are you referring to our different product categories or market --
Suji De Silva - Topeka Capital: Sure. Like wireless, micros, yeah.
Tyson Tuttle: Okay. I mean, certainly our broad based products in general. We have come in 2013 and certainly in Q4 they were about half the company's revenue, and those continue to be the largest growth drivers for the company going forward. So our MCU and wireless products, as well as sensors, all of the IOT, I would probably put at the top of the list, followed closely by opportunities in timing. We have been getting very nice design win momentum with our timing products. We also have the ramp of Siemens in the second half, and so we expect a very nice growth here out of timing, as well. And then within the broad-based category, we also have our isolator products, where we have been investing quite heavily, and have introduced quite a few new products, and have a rich pipeline of devices coming in, and that business, although its starting off a smaller base, is going to see nice growth in 2014. So I would put the broad based category as the strongest growth, followed by broadcast, with both video and audio in growth mode. You have the ramp of automotive radio tuners and tier-1 automotive design wins and cars coming out, and that's quite a substantial market. We have high hopes for that product line, one day being $100 million plus of revenue, and then continued growth in video. So I think if you look at Silicon Labs overall, compared to past year, we are very-very well positioned to grow in our core broad-based and broadcast markets, and we have little exposure to the PC and handset market. Those products, end of life there in 2013. So overall, very well positioned, and also cautious as we enter the year, not to get expectations too high. But going into 2014 and the design wins that we have got, I think sets us very well up for the year in 2015 and beyond.
Suji De Silva - Topeka Capital: Great. And as a quick follow-up on the wireless category in particular; can you talk about -- there's going to be guys following the (inaudible) here into the marketplace. Is this somewhere where you guys played better in this smart watch category relative to others, and (inaudible) how that plays out? Thanks.
Tyson Tuttle: Right. We have a lot of interest in our -- both our wireless products, and especially the EFM32 Gecko products into the wearable market. If you look at those designs, they need a fair amount of processing. There is a lot of sensor interfaces, there is a lot of interest in, in not just movement in accelerometers, but in medical sort of, pulse rate and blood oxygen content, pulse oximeter type functionality integrated into the watches, as well as connectivity to our smartphones, and getting that data into the cloud, where you can process the data, connect various things together, to improve our health, improve our fitness. So I would say, that it's both the wireless opportunity, especially as Bluetooth comes along. But right now, we have an intense amount of interest in our low power into use, which we believe, can achieve an industry leading low power capability, which lets the battery last as long as possible, and also lets the maximum amount of functionality or a given amount of batter life, possible in those devices. So we are very excited about the wearable market. There was a lot of interest in our products, and there was a lot of interest on the floor, in the wearables, at the CES, and I think that bodes well for the year.
Suji De Silva - Topeka Capital: Thanks. Excellent quarter.
Tyson Tuttle: Thank you. Do we have any additional questions on the line?
Harsh Kumar - Stephens Inc: Hey guys. This is Harsh Kumar from Stephens. If I can squeak a few in?
Tyson Tuttle: Absolutely.
Harsh Kumar - Stephens Inc: First of all, congratulations, great quarter, great guide. I was just curious, if you go back to the 4K TVs, do you command a high ASP outside of just the content increase or units increase?
Tyson Tuttle: I would say in the 4K TVs, these are in general going to be more higher functionality televisions, that would be more likely to contain a high end demodulator in the European model, and they would be more likely to contain multiple tuners than a normal definition, standard HD type device. So in general, I think the 4K TVs would drive a little bit higher ASP. But in particular, the tuner functionality, for an individual tuner, we wouldn't necessarily differentiate between a 4K tuner, and an HD tuner. So those wouldn't be at the same ASP level, but they would tend to be a higher functionality device, that would have incrementally a higher dollar content for us.
Harsh Kumar - Stephens Inc: Got you. Thank you. And I think one other statements you made in your prepared comments was that, you have 40% or so increase in design win activity. Correct me if I am wrong, but particularly in the Internet of Things area. I am curious, if you can talk about, maybe which areas within the IOT are strongest for you? Is it home automation, is it fitness and wearables, or just any color on where things are going for you?
Tyson Tuttle: So we have seen lots of activity in home automation security. We have seen lot of the retailers deploying home automation systems or do-it-yourself. We have seen a lot of activity in trying to make these devices interoperable, and you've certainly seen a lot of the operator, the table companies like Comcast, Time-Warner, Rogers, deploying home automation systems, and where it's certainly playing a very prominent role, and those roll-outs both with the retailers and with the operators. We have seen a lot of activity recently in the lighting area. You have the phase out of incandescent bulbs in general, across the US, and that is driving additional adoption of LED lighting, and then the integration of ZigBee into those bulbs, as these home automation type systems are rolling out. Seems to be a very large trend, and so a lot of activity going on there. Then we just talked about the wearables in health and fitness, and I think again, that is an interesting market as well. But I would probably put home automation security first, followed by health and fitness. But overall, a much higher level of activity coming out of the CES and coming into 2014 than we saw a year ago. So very excited about the momentum in the IOT space right now.
Harsh Kumar - Stephens Inc: Thanks for that color. And the last one for you is; I was just wondering if you'd clarify maybe. You do expect the microcontroller and wireless business in the first quarter to be flat to up, correct? Is that right?
Tyson Tuttle: We, in general, have talked about our broad based products being flat to Q4 in the first quarter. I think there is a few puts and takes there. We have talked about some strength in timing, and some return of growth in that category. You do typically, in some of those areas, have some weakness on the consumer side. So there is a little bit of a decline there. But we think that overall, the strength in industrial and in timing will be able to offset that.
Harsh Kumar - Stephens Inc: Thank you so much for your color. I appreciate it.
Deborah Stapleton: That's all the time we have for questions this morning. Thanks to everyone. Goodbye for now.